Operator: Good morning, ladies and gentlemen, and welcome to the Capstone Mining Corp's Second Quarter 2015 Financial Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Wednesday, July 29, 2015. I would now like to turn the conference over to your host Cindy Burnett, Investor Relations. Please go ahead.
Cindy Burnett: Thank you. I'd like to welcome everyone on the call today. The news release announcing our 2015 second quarter financial results is available on our website, along with an updated corporate presentation, with summary information on the Company and our financial and operating results. Also on the website are webcast slides to accompany our commentary today. With me today are Darren Pylot, Capstone's President and CEO; Jim Slattery, Senior Vice President and Chief Financial Officer; Gregg Bush, Capstone's Senior Vice President and Chief Operating Officer; and Rob Blusson, Vice President of Finance. I would like to advise you that this call is being recorded for replay through our conference call provider, and is being broadcast live through an Internet webcast system. Comments made on the call today will contain forward-looking information. This information by its nature is subject to risks and uncertainties, and actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please see Capstone's relevant filings on SEDAR. Finally, I'll note that all amounts we will discuss today will be in U.S. dollars, unless otherwise specified. Now, I'll turn the call over to Darren Pylot.
Darren Pylot: Thank you, Cindy, and good morning, everybody. Jim will lead off with a review of our financial performance, followed by Gregg, who will provide an update on our operations. We will also provide an update on our development projects and corporate activities, followed by your questions. So I'll now turn the call over to Jim.
James Slattery: Thanks Darren. Our net income for the second quarter was $1.3 million, and included a $5.7 million income tax recovery, as well as a $7.1 million non-cash unrealized gain on our copper colors. This was partially offset by a $6.9 million non-cash write down of inventory at Minto. Operating cash flow before changes in working capital was $21.8 million for the quarter, up from $16.5 million in the first quarter of 2015, but down from the same quarter a year ago when we realized significantly higher copper price. With the decline in copper prices, we managed our business to maintain over $200 million in liquidity at quarter end and remained within our debt covenants. To further solidify our financial position, we did two things this quarter, first we locked in a price of approximately $2.81 per pound on almost 20,000 tons of copper with quotation periods running from April 15 to August 15. At the end of this quarter, approximately 8,700 of these tons remain unsettled. Second, we took advantage of the copper price rally in early May to put the zero cost collar copper program in place with a floor price of $2.60 and a ceiling price of $3.10. This collar program allows us to execute our planned 2015 capital program particularly with the investment we're making at Pinto valley for the PV2 expansion. The collars cover our production up till the end of September 2015, with pricing periods running until February 2016. These callers are in place to ensure the covenant compliance and adequate liquidity to manage our business. With 2015 being the year of abnormally high capital expenditures, the downside risk in the market appeared at the time more significant than the upside potential when we executed the transaction, and recent market volatility has supported this assessment. Consolidated C1 cash cost for the quarter were slightly over our annualized guidance which reflects both the uneven distribution in mine plans on a quarterly basis and also the shortfall in production at Cozamin. With the necessary adjustments underway at Cozamin, our current forecast has us meeting our C1 guidance for the year. As a result, we're not changing our overall cost guidance but expect the distribution by mine to be slightly different with Minto outperforming while Cozamin underperforms. Now, I'll turn the call over to Greg for our operational update.
Gregg Bush: Thanks Jim. At Pinto Valley, we met our quarterly production and cost guidance with grade above the mine plan offsetting lower than planned tonnage in recoveries. We made good progress on our maintenance reliability program at Pinto Valley and we're seeing the benefits by June in both throughput and reduced variability which have continued through July. We're putting systems in place to ensure the ongoing sustainability of these improvements and will continue the process of optimizing our maintenance programs. We remain confident that we can meet our targets, sustain production of 52,000 tons per day, given the progress that we've seen through June where we averaged just under 49,000 tons per day and for July, where we expect to close the month, at or very close to 50,000 tons per day. At Cozamin, we carried the development shortfall over from 2014 and we're experiencing development shortfalls early this year due to changes in rock support standards implemented in 2014. In addition, higher percentages of ore sourced from the footwall zone compared to previous years highlighted some deficiencies in our grade control practices. These issues have been addressed through training programs directed at our long hole drilling and development crews. In the past several months, we have met or exceeded the development rates needed to get us back on track and we've gotten the dilution issues under control. We expect to have sufficient development completed by September to maintain plan throughputs in the mill going forward. Additional high grade tonnage will lower, but not eliminate the Cozamin production deficit by year-end. With the new leadership at Cozamin, both general manager and mine manager levels, we believe that we have the full domino effect of operational issues under control. By mid-July our grade was back up and we averaged the last several weeks over 2% copper. Tonnage did initially fall off, but now we have a common understanding of the priorities in the leadership in place. We're seeing it come back and expect to continue to improve throughout this quarter. As we mentioned in our disclosure, we do not expect to make either production or cost guidance at Cozamin for the year. At Minto, we significantly outperformed our plan for the second consecutive quarter as a result of ongoing positive grade reconciliations to the underground block model as well as more unplanned ore production from our cheap mining of area two early in the quarter. The strong outperformance at Minto has allowed us to maintain our overall consolidated 2015 production and cost guidance, and finally we received a Draft Water Use License yesterday and now expect to being stripping Minto North in the next couple of weeks. This will have ore in the mills starting in December, and the bulk of the high-grade hitting in Q2 of 2016. I'll now turn the call back over to Darren.
Darren Pylot: Thank you, Gregg. This quarter really served to demonstrate the advantage of having multiple operations. Minto was able to step up and offset the production shortfall at Cozamin allowing us to reach our mid-year targets and maintain our guidance for the year. Our priorities for the year have not changed. They remain centered on careful management of our financial resources, advancing our growth projects at a measured pace and maintaining flexibility in our operations to ensure we remain on guidance. At Pinto Valley, we're on track with the implementation of the PV2 mine life extension project and expect to complete, the PV3 prefeasibility study this quarter. For PV3, we've evaluated both a base case which includes a 10% to 15% increase in throughput with a potential for a mine life extension. We also, looked at a much larger case, which increases to 90,000 tons per day also with the mine life extension. We've done enough work now to determine that the 90,000 ton a day case is not expected to generate returns sufficient to justify the additional development capital and additional development and capital risk over the base case. So, as a result, only the base case will be advanced in the PV3 final prefeasibility study. At Santo Domingo, we received approval of the EIS in early July, and with the iron market not expected to recover quickly, we're assessing a phased approach focusing on evaluating the copper portion of the project, first with the option to add iron facilities should the outlook for that market improve. We're advancing a feasibility study for the phased approach towards a mid-2016 completion date and our pro rata share of the revised budget for the second half of this year would be approximately $10.9 million, which will advance the feasibility study, retain the Santo Domingo team and maintain and advance various activities related to our social license and legal title insurance [ph]. Given the size of the project as it's currently scoped and the expected extended downturn in the iron market, we have determined this to be the best and most prudent course of action for development of -- advancement of this project. In closing at the midway point of the year, we've managed our revenue through our copper collars to allow us to complete our 2015 capital program, which positions the Company for the future. Once 2015 is behind us, and the large capital program concluded, 2016 sets up to be a significantly lower investment year for us. In the near-term, our key catalysts are the receipt of the final water license at Minto, which will allow us to get to the stripping of Minto North in the next couple of weeks. As Greg mentioned, we did finally yesterday receive the second draft of the license which corrected a number of errors and omissions that were in the first draft. There is a very short turnaround now and we expect the license to be finalized and issued early next week. Our second major upcoming catalyst will be the completion of the PV3 prefeasibility study which is scheduled for completion in this quarter. For the balance of the year, our focus will be on sustaining improvements in mill throughput at Pinto Valley, getting Cozamin back to plan on throughput and grade throughout the remainder of the year, and analysing the rescoping options at Santo Domingo on a basis that our free cash flow allows us in this current market. Operator, that concludes our prepared remarks and we're now ready to take questions.
Operator: [Operator Instructions] Your first question comes from Ralph Profiti, Credit Suisse. Ralph? Please go ahead.
Ralph Profiti: Good morning, everyone and thanks for taking my questions. Firstly, understanding that it's still early days on PV3, but the MD&A referred to targeting all the remaining measured and indicated resources there. Now with this smaller scale being looked at, can we assume or could you come back to you know that 968 million ton of resource that had the higher cut-off grade? It's smaller but it's higher quality and still gives you the sort of 35 year to 40 year mine life. Is that something that we could see upcoming in a few months?
Darren Pylot: Yeah, I'm not sure I understand what you're getting at. Obviously, we're looking at all the remaining resources. We never had any expectation that all of those resources will convert into reserves for this PV3 study. So, did that answer your question?
Ralph Profiti: Yeah, I'm just trying to get at sort of this copper environment, your long term views and then sort of how you're kind of rebasing the expectations on what is the sort of conversion target.
Darren Pylot: Well, I mean, I don't think we can talk about -- we can't really talk about reserves. I mean, the study is not completed.
Gregg Bush: Ralph, I think it's safe to say that we expect a mine life extension with all those resources as you mentioned, but 100% of those resources are not going to convert to reserves in this PV3 study.
Ralph Profiti: Okay, thanks guys. And just, secondly some strong improvements on the throughput, Pinto Valley but recoveries were a bit below expectations and sort of trend against the copper grade. Is there something particularly anomalous in the quarter on recoveries or is this normal variation and you still have confidence in this kind of 88% target for the year?
Gregg Bush: Yeah, there's not -- there's not any major issue there at the -- as the reliability improves, we do expect the recovery to improve, as a general rule, but we started a new pushback, so some of the ores not as -- or I should say is slightly more oxidized in those upper benches, so you expect to see some more recoveries.
Ralph Profiti: Excellent. Thanks very much guys.
Operator: [Operator Instructions] Your next question comes from Stefan Ioannou, Haywood Securities. Stefan, please go ahead.
Stefan Ioannou: Great. Thanks guys. It's just good to hear that it sounds like the Water Use license amendment's coming very shortly here at Minto. Just wondering, with stripping starting up in the next couple of weeks, do you think you'll get through that sort of $23 million budget in pre stripping program this year and into actual ore this year or what's the sort of timeline for high grade coming out of Minto there?
Darren Pylot: Yes, we do expect to get through the pre stripping. Well, we do expect to see some ore in December. We're starting later, we split Minto north into two smaller phases, so that we get the ore a little bit earlier. However, we don't expect to see any really high grade ore until probably the second quarter of next year.
Stefan Ioannou: Okay. Then just on previous calls with regards to the -- it's a capital cost intensive year, and the budget's at $168 million right now, but on a previous you'd mentioned that you thought there was about $30 million of -- call it discretionary spending, most of it back weighted to the second half of this year. What's your thought on that discretionary component? Are you going to go ahead and spend it all or are you taking some stuff off the table or what's the thought there?
James Slattery: Well Stefan, most of that discretionary would be choosing not to strip Minto north in 2015, but with the collars in place in the $2.60 downside protection that ensures that we can spend all the capital, should we decide that prudent and really, the two big capital items left are that stripping at Minto north that we definitely want to do this year, because of the high grade ore that's it's going to expose and then secondly, it's completing the PV2 expansion, obviously with the tailings. The tailings are left to do for the remainder of the year. So, those two things are, I think you'll see will happen.
Stefan Ioannou: They'll happen, okay. Okay, and maybe just one last question. Just with regards to the debt itself right now, I know you've got the collars in place, which give you $2.60 copper, but sort of once we get past into September is there a copper price that starts to get you guys concerned like a sustained copper price where the covenants underpinning the debt come into question or are we far away from that even at -- call it $2.35 to $2.40 copper?
James Slattery: Technically, if copper went down today to $2.35 and continued on and is an item, that would cause us to just brush our -- one of the covenants at the end of the third quarter this year. We can go down as low as $2.20 and there's a -- there would be a small technical breach in the total debt covenant but we've got lots of coverage on the interest coverage, but that only lasts about three quarters and almost any copper price that you can reasonably imagine beyond the midpoint of 2016 will be in compliance with all the covenants. We're not seeing any kind of an urgent financial issue to take any steps that would -- could have a long term negative impact on the Company just to make it through the short term.
Stefan Ioannou: Okay but sir, you said $2.35 to the end of Q4 of this year or if there was a time on that?
James Slattery: If, as of today, we ran a $2.35 we would still be through the next five years, we'd still be in compliance with all of our covenants.
Stefan Ioannou: You'd still be in compliance. Okay.
James Slattery: That's correct.
Stefan Ioannou: Okay. Got you. Thanks very much, guys.
Operator: Thank you, your next question comes from Cliff Hale-Sanders, Cormark Securities. Cliff, please go ahead.
Cliff Hale-Sanders: Good morning everyone. I just want to make sure I understand what Darren said and then I have a follow up question on the Minto north pre stripping. Obviously, it sounds like you fully expect to get the permit within the next week, week and a half and then that would be great. Then you can make your final decisions, but the way you were talking about the capital, it sounded as if you were still haven't quite made that formal decision that you're going to spend that money this year, at current copper prices, how would that adjust your thinking or would it be better off to postpone for six months, once you have the licence in hand?
Darren Pylot: So Cliff, to clarify, yeah no, I was saying we are definitely going to spend that capital on stripping Minto north, because it's only a kind of a -- call it a year and a couple of months reserves there at Minto north and the greatest or high, it doesn't make sense to postpone, because obviously we don't have the -- we won't have the stockpiles and we rely solely on underground ore if we didn't have that Minto north. So, we told we fully expect to do all the stripping in 2015 and start to mine Minto north at the end of '15 and all of '16.
Cliff Hale-Sanders: Okay. Just going on from that, obviously Minto north is a -- call it a one, one and a half year high grade opportunity. What would you need longer term to continue mining at Minto beyond that?
Darren Pylot: Well, we've seen our underground mining production and cost come in much -- obviously the grade has been higher than planned, because the dilution has been made -- it has done a very good job on dilution underground, so the grade has come back higher than planned and resulting in much lower operating cost than we had originally budgeted before we started mining there. So, we've seen good things, but we're going to have to have a look at Minto beyond Minto north and understand its cost structure ultimately and can we -- it doesn't make sense -- and depending on what the copper price is, it doesn't make sense to run as an underground mine. We don't have all that information yet and obviously we need to know what the copper price is going to be, but that's what it would be beyond Minto north is basically an underground mine.
Cliff Hale-Sanders: And just my other actual question was on Pinto Valley. Now we had been -- or you'd indicated that you were hoping to target coming out of the second quarter at full throughput rate, it looks like we're a little bit behind there. Is there anything to read into that or was it just taking a little while to bed down the new procedures and get the spare parts and things of that nature?
Gregg Bush: Yeah. Sorry, I didn't know -- we didn't target to be at full throughput rate second quarter. We expected to be there by the end of the second quarter. We're getting pretty close, so -- I don't want to -- Cindy will hit me if I speculated on what day we're going to be there, so.
Darren Pylot: But there's nothing particular to read into it.
Gregg Bush: No, no.
Cliff Hale-Sanders: Okay. I just wanted to make sure there's nothing, you hadn't found anything new that you had to go back and redress that's just slowing things down just a little bit.
Gregg Bush: No, I think Cliff, what we're seeing is, we've got everything in place, so, at any day now, we could be sustaining that 52,000 tons. We're running at about 50,000 tons now, but there's nothing stopping us from being at the 52,000 tons. It's going to happen and we just don't know when it's going to actually kick in, but we fully expect it to be, any day, any week, there's nothing left for us to do. It's just going to happen.
Operator: Thank you. Your next question comes from Peter Campbell, Mackie Research. Peter, please go ahead.
Peter Campbell: Thank you very much. Just a quick question on TC/RC if I may, are your treatment charges negotiated annually or are you on more of a spot basis?
James Slattery: The contracts that we have with Cozamin and Minto are annual. A lot of Pinto Valley is spot.
Peter Campbell: Okay, and it seems that there's, despite the depressed copper price, there's a bit of a scarcity for copper concentrates. Are you experiencing that too and therefore might expect some, like downward pressure on your treatment charges?
James Slattery: Well, that's a pretty accurate observation, because there's opportunities in the market for swaps as well, all part of taking advantage of the market, which is basically broken down between very clean concentrate and not so clean concentrate with traders in between trying to blend them to take advantage of the arbitrage opportunity that exists and we're certainly taking advantage of that given that we've got nothing but very clean concentrate.
Peter Campbell: So, I guess, I take from that then that you've got no plans at this point in time to push PV into a term based TC/RC.
James Slattery: Sorry, what was that?
Peter Campbell: You're not going to like negotiate a term based treatment charges for Pinto Valley, correct?
James Slattery: Not at this --
Peter Campbell: You're going to stay on a spot basis basically.
James Slattery: We're going to continue along the route that we're currently travelling.
Darren Pylot: Peter, we have a lot of concentrate obviously coming out of Pinto Valley, so we have a number of spot lots scheduled throughout the year and then we do have some long term relationships with smelters for obviously obvious needs to maintain a long term relationship. So, we blend those two together, but to add to Jim's comments, we just sold a spot lot last month at what I believe has been the lowest price in the market to date in 2015, which was in the mid-60s.
Peter Campbell: Oh gee, that's a very good price.
Darren Pylot: That gives you a sense of how the market is, the demand that the market's looking for, for good clean [indiscernible] which we have at all of our mine sites.
Peter Campbell: Okay, that was the entirety of my questions. Thank you very much.
Operator: Thank you. That concludes our call today. I'll hand it back over to Darren Pylot.
Darren Pylot: Thank you for joining us today everybody and please don't hesitate as always to contact us with any additional questions you may have and have a good day. Thank you.